Operator: Good morning, and welcome to the Vivid Seats' First Quarter 2024 Earnings Conference Call. Following management's prepared remarks, we will open the call for Q&A. I would now like to turn the call over to Kate Africk. 
Kate Africk: Good morning, and welcome to Vivid Seats' First Quarter 2024 Earnings Conference Call. I'm Kate Africk, Head of Investor Relations at Vivid Seats. Joining me today to discuss Vivid Seats' results are Stan Chia, Chief Executive Officer, and Larry Fey, Chief Financial Officer. By now, everyone should have access to our first quarter earnings press release, which we released earlier this morning. The press release as well as supplemental earnings slides are available on the Investor Relations page of Vivid Seats' website at investors.vividseats.com.
 During the course of today's call, management may make forward-looking statements within the meaning of Federal Securities laws. These forward-looking statements are subject to risks and uncertainties that could cause actual results to differ materially, including the risks and uncertainties described in our earnings press release, our most recent annual report on Form 10-K, and our other filings with the SEC.
 On today's call, we will refer to adjusted EBITDA and adjusted EBITDA margin, which are non-GAAP financial measures that provide useful information for our investors. To the extent reasonably available, a reconciliation of these non-GAAP financial measures to their corresponding GAAP measures can be found in our earnings press release and supplemental earnings slides.
 And now, I would like to turn the call over to Stan. 
Stanley Chia: Good morning, everyone, and thank you for joining us today. We're off to a great start in 2024 with strong financial results and substantial progress made on key strategic initiatives. These results are a testament to our strong market position, superior and differentiated offering, as well as the consistent execution of our talented team to keep raising the bar. Today, I'll walk you through our financial highlights and then provide an update on our strategic initiatives. Then Larry will speak to our financial results in more detail.
 In the first quarter, we delivered over $1 billion of marketplace GOV for the second quarter in a row, along with $191 million of revenues and $39 million of adjusted EBITDA. The strength of our business has continued and we are proud to have delivered 20% top line growth and strong adjusted EBITDA margins that exceeded 20%. We saw widespread demand strength continue in the quarter, with fans across categories wanting to experience it live with their favorite artists and teams.
 Following quarter end, the industry reached an exciting and important milestone for women's sports. After the Indiana Fever selected Caitlin Clark with the first pick in the WNBA draft, a women's sports team was the top selling performer on our platform for the first time ever. We are excited to see the continued growth in women's sports and believe this demonstrates one example of the broad-based strength we are seeing across the live events landscape.
 As the live event industry continues to benefit from long-term tailwinds and as we continue to unlock leverage from our recent investments, we look forward to driving sustained double-digit growth on both the top and bottom line for years to come.
 Through our loyalty program and brand initiatives, we reached nearly 60% mix of repeat orders in 2023. Repeat orders are highly accretive to our margin profile, and Vivid Seats Rewards is one of many mechanisms that we employ to retain users within our ecosystem.
 Game Center is another key mechanism that attracts both existing and new customers to our platform. Whether it's winning free tickets, competing with friends, or scoring promo codes, the engagement and retention of customers has been excellent. In fact, customers that have earned promo codes have on average engaged with our platform 26 times before earning their first code. The repeated brand exposure and high intent engagement creates many more opportunities for players to browse tickets and make repeat purchases, all the while providing us with more information to personalize our offerings to each user.
 Last quarter, we announced that we were accelerating our international expansion time line. And I want to take a moment to highlight the excellent progress we are making. As we focus on internationalizing our platform so that it scales efficiently across geographies, we are pleased to report that we are on track to launch internationally by the end of the year. While the platform cost of international expansion is now embedded in our financial profile, upside from international revenues and contribution is still to come. As we look abroad, we continue to see favorable market conditions and believe our differentiated value proposition will be well-received by international consumers.
 We have also made substantial progress with our recent acquisition of Vegas.com. The integration of this business is going well, and we are already driving revenue synergies. We are now selectively cross-listing and optimizing ticket listings from Vivid Seats, such as for top concerts and sporting events on our Vegas.com property. This is driving incremental revenues as high intent live event fans traveling to Vegas browse an even more comprehensive offering of live event listings on Vegas.com. Our optimization efforts are ongoing, and we look forward to ramping cross-listed volumes. As we said before, we see great potential and multiple avenues for synergies with Vegas.com.
 Las Vegas, which is already a key market for us, is also the home of the recently announced College Basketball Crown, a new postseason tournament beginning in 2025. We are thrilled to be the tournament's official ticketing provider, and we'll be the exclusive home for tickets across all games in the tournament. This is a first for Vivid Seats, and an example of how we are leveraging the power of our industry leading technology platform in new ways. With this unique and innovative partnership, we will provide fans with a new turnkey end-to-end ticketing experience, while simultaneously elevating our brand awareness nationally through another high-profile event in the entertainment capital of the United States.
 In summary, we are pleased with the great progress we are making on our strategic initiatives on the buyer side of our marketplace. As always, our focus is on driving long-term stickiness with both buyers and sellers.
 Shifting to the seller side of our business, we are proud to share that SkyBox remains the leading ERP for professional sellers. Building on our leading position, we've strengthened our seller product lineup further and look forward to launching SkyBox drive, our new automated pricing tool, later this year. We continue to expect strong adoption from sellers for this tool, which is plugged directly into SkyBox and will leverage robust data from our marketplace.
 As mentioned on previous calls, we have gone to new length to drive innovation and optimization in our marketplace, launching new products for both buyers and sellers, expanding internationally, and strengthening our tech stack. These efforts have resulted in Vivid Seats being recognized amongst the world's greatest innovators.
 We are proud to share that we have recently been named the Fast Company's list of the World's Most Innovative Companies of 2024. This prestigious list shines a spotlight on businesses that are shaping both industry and culture through innovation and setting new standards.
 With that, I will turn it over to Larry for a more detailed review of the quarter. 
Lawrence Fey: Thanks, Stan. In the first quarter, our business continued to perform well amidst ongoing end market strength, which we were pleased to translate to solid financial results. In the first quarter, we generated more than $1 billion of marketplace GOV, which increased 20% year-over-year and was driven by increased total marketplace orders. Average order size was $358 in the first quarter of 2024 versus $376 in the first quarter of 2023, with the delta driven by the impact of acquisitions that bring a different AOS profile. We delivered $191 million of revenues in the first quarter, an 18% year-over-year increase. Our take rate was 15.6%, consistent with expectations of 15.5% or higher for full year 2024.
 In the first quarter, we delivered $39 million of adjusted EBITDA and a 20% adjusted EBITDA margin, while making incremental investments to develop our international platform capabilities. As a reminder, our results from the first quarter of 2023 included $8 million of nonrecurring timing benefits, which will impact year-over-year comparisons.
 Turning to cash flow, we generated $39 million of cash from operations in the first quarter, bringing our cash balance to $154 million and our net leverage to 0.7x forward adjusted EBITDA. We continue to expect strong cash generation and adjusted EBITDA to cash conversion in 2024 and beyond.
 After announcing a new $100 million share repurchase authorization on our fourth quarter earnings call, we repurchased 715,000 shares for an average price of $5.74 in March, leaving $96 million remaining under the authorization at quarter end. At these price levels, we believe repurchasing our stock is an attractive use of our robust cash flow.
 With the strong start to the year, we continue to expect 2024 marketplace GOV in the range of $4.2 billion to $4.5 billion, 2024 revenues in the range of $810 million to $840 million, and 2024 adjusted EBITDA in the range of $160 million to $170 million. Our guidance calls for double-digit growth on both the top and bottom line for 2024, and we expect to deliver double-digit growth on a sustained basis as we capture continued live event growth in North America and expand abroad.
 With a long history of operating leverage in our business, we believe our recent investments will augment both growth and profitability, and support adjusted EBITDA margin improvement of 50 basis points per year in the coming years.
 Back to you, Stan. 
Stanley Chia: Thanks, Larry. Before we conclude and turn to Q&A, I'd like to highlight the progress we have made on our ESG initiatives. Last week we published our 2024 environmental, social, and governance fact sheet, providing new and updated performance metrics. Sustainability and corporate responsibility play a vital role in our business strategy, and we are pleased to share the progress we have made in 2023.
 On the environmental front, we measured and disclosed our Scope 1 and 2 greenhouse gas emissions to better understand our impact, enhance transparency, and benchmark future progress. And on the governance front, we will have a majority independent board of directors with fully independent board committees by November 2024. We continue to demonstrate our commitment to enabling exceptional experiences for all stakeholders through the ongoing support of our employees, customers, and communities.
 To conclude, we are building upon an excellent 2023, where we delivered nearly 25% top and bottom line growth, and we are making significant progress thus far in 2024 on multiple strategic initiatives, while delivering great financial results and increasing shareholder value. We look forward to making continued progress throughout the year towards our international launch and harnessing synergies from our Vegas.com acquisition. We are confident that our long-term strategy sets us up for double-digit growth again in 2024 and sustainably thereafter.
 With that, operator, let's open it up for questions. 
Operator: [Operator Instructions] Our first question comes from the line of Ryan Sigdahl with Craig-Hallum Capital Group. 
Ryan Sigdahl: I want to start with guidance. So you mentioned accelerating international expansion time line. I guess, is that different from what your expectation was a couple of months ago or just relative to the past kind of few years' strategy? And is $10 million still the right cost assumption in that guidance? And then kind of lastly, on guidance, I guess you'd be nicely on Q1, reiterated the year. Any other puts, takes besides international in there? 
Lawrence Fey: Yes. Thanks, Ryan. Yes, I think international is progressing well. I don't think you should interpret that as a change in our philosophy. We are still not assuming within our guidance any revenue or contribution margin beyond the G&A investment. If we get to a point where kind of conviction and certainty on timing shifts to a level where it's prudent to include it, we'll let you know, but we're not at that point yet, but we're trending well to be able to go live before the end of the year.
 No changes on the investment amount. I'd say that's all trending consistent with expectations. And then if you look at Q1 relative to full year guidance, obviously, I think off to a nice start, but still early in the year with a lot to play out. So felt prudent to maintain the targets where they are. 
Ryan Sigdahl: Just a follow-up, AEG partnership, I guess, for College Baseball Crown, new, unique, kind of where you guys are going to distribute primary tickets to be exclusive. But can you talk through, I guess, this -- the uniqueness of this deal, how you want it? Why does AEG and AXS need Vivid? And then if there are any other opportunities like this out there? 
Stanley Chia: Yes. Hello, Ryan. Look, I think we're really excited about being their partner on this new tournament. I think as we've continued to demonstrate, we have looked to use our technology across multiple vehicles where the uniqueness of what we do combined with abilities that we have allow us to serve as wonderful sources of distribution for partners and ultimately create value for fans and sellers. We've got a great relationship with AEG, AXS through this. And I think when we've looked at I think what we do well and what they were looking for in a partner, this looks like a fantastic opportunity, and we're really excited to see how it plays out next year. 
Operator: Our next question comes from the line of Curtis Nagle with BofA. 
Curtis Nagle: Maybe, Stan, one for you, so currently here in terms of Vegas.com, it seems like that's wrapping nicely, synergy starting to come through. Any more, I guess, metrics or in terms of just a framework of kind of what potential lift we could see from cross-selling or integrating that asset in a fulsome way into the platform? 
Stanley Chia: Yes. Hello, Curtis. Thank you for the question. Look, I -- we were excited when we acquired Vegas.com and call it, 4, 5 months in now, we're even more excited about what we see. We continue to look at that as really a critical part of our marketplace business and the thesis that -- the thesis is that we had, going into this, I think continued to play out well, whether that is being a wonderful customer acquisition source for us that we are then able to blend into our other marketplace brands or simply being able to monetize that traffic in an incremental manner where we are now able to add, not just the selection that Vegas.com had organically pre-acquisition, but we are also able to infuse it with events and selection that they didn't have access to prior from the Vivid Seats supply side. So I think we continue to be excited. Those are the thesis that we had going into it, and we're starting to see a lot of that come to fruition and remain really bullish on that through the remainder of the year. 
Curtis Nagle: And then maybe just follow-up with one -- competition in the U.S., obviously, your primary -- the only market right now. How does that look kind of relative to, let's just say, the end of the year and kind of how it shapes up through the quarter? I know you didn't give guidance to the year or we should say the quarter, but you put up some really nice GMV, so at minimum you're executing well. But just -- yes, anything to call out in terms of how to think about relative competition for your bigger competitors and just how you think that shapes up through the year? 
Lawrence Fey: Yes. I'd say we -- in prior quarters, you have in flow language, and I think indicated that, and in the back half of last year, within those normal bands, perhaps a little bit closer to the higher side than the lower side. I think that continued into Q1 without meaningful change. What I would call out is that if you did like a year-over-year Q1 '24 versus Q1 '23 comparison, Q1 '23 was on the other side, right, within those natural operations Q1 '23 was a fair bit, we felt, less competitively intensive relative to the balance of the year or this year. It feels like it's on the higher end of the spectrum. But in both periods, I'd say within balance that we've seen in the past. 
Operator: Our next question comes from Dan Kurnos with The Benchmark Company. 
Daniel Kurnos: Just let me follow-up on that, Larry, for a second, just -- and Stan, given the strong reengagement and stickiness metrics that you guys have given kind of the noise in the competitive landscape, I know you guys always find unique ways to go out there in market. But -- what's kind of the thought here on driving sort of new customers into the system a little bit more aggressively while the other guys are trying to figure out a way to market? 
Stanley Chia: Yes. Hello, Dan. Look, I think, as you said, we have always focused on the things that we control and look to build on products and platforms that allow acquisition and stickiness to be strong, right? We spent some time talking about Vegas.com. I think that is a very unique source for new customer acquisitions. If you look at that Crown basketball challenge tournament that we announced with AEG, we're really bullish on that, right? When you look at the fundamental basis for doing that deal, that will be a very, I think, strong source of customer acquisition and retention that will be unique to us and our ability to retain that within our ecosystem, right? So while we always talk about, undoubtedly, this is a competitive environment, the reality is I think we are very focused on the things that we control and have great confidence in the investments that we're making to drive both better acquisition and as always, I think, much stronger retention, which we see through our engagement vehicles, our repeat rates, our loyalty program. 
Daniel Kurnos: It's clearly showing the numbers, Stan. I guess, the follow-up, I guess, on the AEG stuff, I mean what is your appetite for further primary rather than secondary? Or is this, as you said, more just a unique customer acquisition play? 
Stanley Chia: Yes. I think the appetite is always there for great deals that are accretive to us and wins for our partners, right? So I don't know that I'd look at it as primary or secondary. I think I'd look at this as we bring great marketplace technology to the ecosystem with an ability to drive value to those who need distribution, as well as being able to allow sellers and fans to participate greatly. And I think we found a great partner in AEG, who is willing to construct that deal in a way that made sense for both us and them, and wherever those opportunities exist, we'll be really aggressive in pursuing them. 
Daniel Kurnos: Intelligent deals in this marketplace, that's a novelty. Nice start to the year, guys. 
Operator: Our next question comes from the line of Maria Ripps with Canaccord. 
Maria Ripps: First, I just wanted to follow-up on international. Could you maybe give us a little bit more color on the building blocks of your international infrastructure investment? What are some -- maybe some of the sort of more intense aspects of the investment cycle? And then any color you can share on the potential sort of markets that you have in mind? 
Stanley Chia: Yes. I think, Maria -- yes, I think it's no small feat to certainly internationalize the platform, and I'm really excited and proud of the work that the team has already done so far this year. As you mentioned, there are key building blocks that you have to build and invest in to be able to scalably launch across markets. And so I think about that as just as simple as it sounds language capabilities that extend into the platform on the buy side, on the sell side, on the support and service side, making sure we understand I think currency, again, on the buy side, the sell side, into making sure that we can both receive and remit payments, understanding local regulatory environment and ensuring compliance across the platform, right? I think if you look at those as a very large building block to make sure that the platform scale, that certainly picks up a lot of the investment work and then being able to then customize that in a scalable manner to the markets that we decided to go live in is probably the later piece. And again, I think everything we're seeing so far, we remain really excited about the ability and on track to do that before the end of the year.
 And as we talk about market, we've looked across, I think, the landscape and certainly as others in the space has discussed. There's just, I think, great opportunity across multiple markets. And so I think as we look at the international landscape, we'll certainly be excited and happy to talk more about it as we start to go live. 
Maria Ripps: And then secondly, sort of with generally stronger-than-expected Q1, how should we think about the seasonality of GOV and revenue sort of this year in context of your full year guidance? 
Lawrence Fey: Yes. I think no significant shifts in how we think about the year. But I would highlight some of those exogenous reasons that we tend to shy away from giving precise quarterly guidance. Did appear in Q1, for example, pretty good Super Bowl dynamic with Las Vegas as the destination, pretty robust ticket prices corresponding to that, a pretty good college football playoff match-up, a lot of heightened interest around the NCAA tournament. So some of those, particularly in sports, call it exogenous match-up driven elements fell our way. And so in the spectrum of Q1 relative to the full year, we probably came in a little bit more robust than if those have gone the other way. 
Operator: Our next question comes from the line of Matt Farrell with Piper Sandler. 
Matthew Farrell: Congrats on the strong start of the year. Really exciting to hear about the momentum in women's sports here at the end of Q1. I guess maybe as we think about the rest of the year and moving forward, how should we be thinking about the tailwind of women's sports more broadly, and maybe even hitting out maybe some of the second-tier sports as well and just growth you're seeing in those on the platform? 
Lawrence Fey: Yes. Thanks, Matt. So I guess I'd start with, sports represents a little under 40% of our GOV collectively. Within that, there's multiple verticals across each of the major professional leagues, college basketball, college football, soccer, and then now as we think about other -- the other sports category. So I dimensionalize that, if you sort of think about 6 or 7 major pillars within a portion of the business, it's roughly 40%. You can think about any one pillar in the mid-to-high single digits of our overall GOV. What we've certainly seen is a lot of tailwinds behind soccer, tailwind behind some fighting, UFC in particular, but also some from dynamics across wrestling and then women's sports. And so you can think of those tailwinds as probably driving well above category growth rates, but the overall adjustments you make just given the respective shares each of these leagues represents of our sports book, which is a minority of our overall [ GOV deficient ]. So a nice tailwind, probably wouldn't design a financial model around it. 
Matthew Farrell: And then you've hit on a lot of the revenue synergies from the recent acquisitions. But anything you could add on the cost side and synergies there? Is it helping to offset some of the investments internationally at all? 
Lawrence Fey: Yes. I'd say in both instances, we acquired businesses that were, I think, run on the lean side of the spectrum. There are definitely pockets here and there where we're able to consolidate some functions and capabilities, drive some efficiency, drive some share learnings, bring vendors together, ready to get some bundling benefits just from our scale. But I would characterize those as clearly secondary to the strategic and revenue opportunities that we've articulated. 
Operator: Our next question comes from the line of Cameron Mansson-Perrone with Morgan Stanley. 
Cameron Mansson-Perrone: First off, just as we think about the mix of GOV across categories for Vivid, obviously, there's a lot of moving parts this year with the business integration. But I'd love to know, looking forward to '25 and beyond, just how do you guys think about where that mix evolves over time? And which verticals in your mind are the stronger, more attractive growth vectors long-term for Vivid? Whether that's from a GOV growth perspective or better or worst take rate opportunity perspective, we'd just love to hear your thoughts on kind of how you think about that medium long-term.
 And then, Larry, following up on your comments around the kind of expectation for margin improvement over time, just curious also how you guys think about that strategically and why 50 basis points is maybe the right cadence or if it's not the 50 basis points necessarily? Because I'm sure that you're not running it long-term for any specific target necessarily and the competitive environment has a lot to do with this. But just how do you think about the trade-offs in terms of the margin trajectory over time? I would love to hear. 
Lawrence Fey: Yes. Thanks, Cameron. Starting with the segments. Generally, we have come to the belief that the secular trends are probably the most robust in concerts in particular, and driving that as you've got really robust demand dynamics, you don't have the same capacity constraints that you have in sports. So if you were to pick on the major professional leagues, baseball, football, hockey, basketball, in most years, it's the same teams playing in the same stadiums, on the same schedule, same playoff opportunity, and growth will typically come from price and then the episodic expansion of a playoff series, insertion of in-season tournaments, right? In NFL, they're talking about Week 18 or an 18th game. But those types of ability to drive the number of events are a bit more limited within the existing major sports, whereas in concerts, many venues, especially the largest venues are well short of 100% capacity utilization. And in our Chicago example where they drive by Soldier Field, 65,000 person stadium, and I think it's full 20 days a year, right? So the opportunity for artists to trade up, and you can extend that, right, across United Center and a number of the other large stadiums. It's much more robust in concerts, which I think underpins a nice secular growth tailwind. We touched on some of the, call it, secondary sports that have really bolstered the existing pillars that I think helps the sports growth rate. But even with that, I'd point that the fundamental trends underpinning concerts is probably a bit more robust.
 The last piece, there's not dramatic differences in take rates. There's not dramatic differences in repeat rates across the categories. But they're not identical, right? You can imagine someone who goes to baseball games, and there's just so many games in a year. The proclivity to repeat is probably slightly higher than when you see Taylor Swift and she doesn't come back into your city for 5 years. And so you see that span the category, so slightly different take rates, slightly different repeat rates, perhaps an opportunity over time as we continue driving engagement, driving platform comfort that we can shift concert behavior to look a little bit more like sports, but that's a very long-term opportunity.
 And shifting to the margins, it's always a little bit of the balance. We're speaking in aggregate at the P&L and what we're hoping at some of the series of micro decisions will roll up to the year-after-year. But ultimately, underpinning that, when you decompose those margin commentaries, it's a series of risk reward and ROI evaluations across innumerable opportunities. And so it's properly calibrating where you want to draw the line, what you're saying yes to, what you're saying no to with the background music being that we've knowingly made some pretty significant investments into some loyalty and brand initiatives and have committed to driving leverage against those. And I think that impacts kind of the marginal decisions to make sure that we're adhering to that overall ROI profile and ensuring that we're delivering proper returns on the investments we've made. 
Operator: Our next question comes from the line of Thomas Forte with Maxim Group. 
Thomas Forte: Congrats on the quarter. I joined late, so I apologize if someone asked something like this earlier in the queue. In the earnings release, you indicated you were confident in your ability to grow top and bottom line by double digits for the long-term. First, are those organic growth rates were reflective of assumptions on future strategic M&A? And then second, while we're on that topic, can you talk about your current capital allocation priorities between investing in the existing business, strategic M&A, and buybacks? 
Lawrence Fey: Yes. Thanks, Tom. Starting with the latter on capital allocation, I think you've said all the 3 things that we'd like to invest in, certainly, as we think about investments into the business itself, organic investments, if you will. We generate a lot of profitability. We generate a lot of cash flow. I don't think we've in any way deprive the business of investments. And so somewhat tying into the prior comments I just made. We see a lot of opportunities. We say yes to a number, we say no to more, but we're always evaluating those through risk reward and ROI framework, and have not ever come to a point where we said no to things that we felt like were the right long-term answer in favor of short-term performance.
 And so I think we do generate that profitability and cash flow, it begs a question, right, we've got strong balance sheet as we continue to generate cash, what do we do with it. And the 2 highest in that thesis that we see have been, if you can find strategic and accretive acquisitions, we should pursue those. If we can buy ourselves at attractive prices, we should pursue that. Now both of those are somewhat outside of our control, right? The opportunities that come down the pipeline are beyond what we can influence. So we evaluate what is available at any point in time. And then similarly, we don't control where our shares trade. I think we've indicated with our share repurchase initiative that we think, currently, it's a particularly attractive time for us to be reinvesting in ourselves and that will be -- has and will remain the bar for acquisitions, right? They need to stand alone on an absolute, but also on a relative return basis. So we'll continue to do that.
 On the double-digit growth profile, I think because of that episodic nature of M&A, we can't and won't build that into our base case growth plans. If they do come along, right, they can either fill in or add to those targets, but we wouldn't build that into a base case. 
Operator: Our next question comes from the line of Andrew Marok with Raymond James. 
Andrew Marok: First one, maybe on Vegas.com, you've mentioned some of the top line synergies that you've been able to begin your realization of so far. But maybe have you seen notable synergies or the opportunity for -- to date for buyers of events on Vegas.com where you're able to market to them back in their home market? Like, if I'm from Detroit and I'm visiting for a conference and buy a show ticket, have you seen uplift from being able to sell me a Tiger's ticket when I get back to Detroit? 
Stanley Chia: Yes. Thank you, Andrew. Look, I think that your exact example is a really strong thesis under which we acquired the business. And I think we're excited by the early signs we've seen there. We are certainly underway in that campaign. We believe it's a really strong opportunity for us around those who come to Vegas and go home and the ability to market them into the Vivid Seats brand that has all of that selection rewards tied to the home market that they're in. I think those campaigns have launched. We're really encouraged by what we see. And I think given the kind of lower frequency of this industry in general, I think we still need some time to play out. But as we always talk about our repeat rates on a cohort basis continue to trend as high as they've ever been. And I think we are really excited about the ability to, in fact, accelerate that through the Vegas.com synergies that we see on that set. 
Andrew Marok: Maybe one more, if I could, kind of on the breadth of your customer base, obviously really strong indicators of demand both on the industry and for you guys in terms of order volumes and things like that with AOS kind of continuing to creep up. It's not new that we've heard concerns around discretionary budgets and things like that. I guess maybe speaking to the breadth of your customer base, is it still like the same large pool of customers who are maybe more willing to spend on more expensive events and experiences? Or is it maybe a smaller group of more dedicated buyers who you're really getting these benefits from? 
Lawrence Fey: Yes. Andrew, I would say I don't think I've seen anything that would point to change. When we looked in the past at the demographic profile of our customers, I think it's pretty reflective of what you had anticipated, right, balance across almost any way you slice it, geographic, gender, income, age, obviously reflective of these event cost money, right? So there's going to be some skew towards affordability. But beyond that, it's been very broad based across interests that are almost by definition quite broad. And nothing we've seen suggesting at the broad level, any weakening in consumer interest in attending these types of events and going more precise than that, I haven't seen any meaningful shifts across those groups. 
Stanley Chia: Yes, almost bring it back, Andrew, just almost -- what we were just talking about. I mean, there's 2 things, right? One, the category and industry secular trends that we've always talked about, I think we remain excited and all signs point to continued interest and frankly, as the demographics move into some of the newer generations who are coming into purchasing power, I think it's clear that this is a category that they will remain prioritized on their spend. And then on the Vivid Seats side, I think that's where our investments are there to really capture and retain customers regardless of which demo, regardless of which bracket you're in, I think interest in the category remains strong and it's shifting to perhaps stronger as we move into those demos, and our platform continues to be built with the premise of engaging and retaining those users with the thesis. 
Operator: Our next question comes from the line of Ralph Schackart with William Blair. 
Ralph Schackart: Just on the macro environment, just curious maybe what you're observing, as we sit here today, as you progress through the year, and just a reminder, what's factored into the guidance for the macro? And maybe just a follow-up, switching gears to SkyBox Drive. You've been in beta here for a little while. Just maybe if you can provide an update what you're hearing from the beta and maybe thoughts longer term on the ability to monetize it on a longer-term basis. 
Stanley Chia: Yes. Thank you, Ralph. Thank you for the question. I think SkyBox Drive also is trending, I think, really well on track to launch later this year. I -- we're always judicious with this, right? I think this is a platform that sellers run the entirety of their business on. So I think we're making sure again that as we start bringing it to market that it is able to really handle a critical component of how they run their business. I happily share when we look at the wait list and people that we have eager to come on to the platform. It's a triple-digit wait list and growing, right? So I think as our beta continues to grow in size of people on the beta, the wait list continues to grow at an even accelerated clip.
 And as we've always said, I think, one, our guidance has 0 incremental contribution from SkyBox Drive. But if you look at the industry in terms of pricers that are out there, I don't think you'll find a pricer that is free of charge. So I think should we decide at some point to monetize the product, I think it would wholly be within industry norms to do so. 
Lawrence Fey: And then on the macro question, I think we had previously articulated our views on long-term industry growth being, call it in North America, high single digits to low double digits. Coming off of a couple of years of really strong performance with the industry growing well above those levels, we had built in a perspective of being on the lower end of that range. With that, also including some acknowledgment, that there's a couple of hundred basis points of headwinds with Taylor and Beyonce not being on the road in 2024. So nothing has meaningfully changed in that regard. I think I'd call out, if anything, sports is trending a little bit better than we would have expected, given some of those favorable exogenous influences at the start of the year. And then if you can think about the calendar of concert timing, the headwinds that we are quoting on a full year basis disproportionately hit in the first 7 months of the year and alleviate a bit in the back half. And so I think you're swimming into -- you're swimming upstream with it on the concert side right now, but I expect that to alleviate on the back end of the year. 
Operator: Thank you. I am showing no further questions at this time.
 Thank you for your participation in today's conference. This does conclude the program. You may now disconnect.